Tony Righetti: Good afternoon and thank you for joining us to discuss PagerDuty’s Fourth Quarter and Fiscal Full Year 2022. With me today – with me on today’s call are Jennifer Tejada, PagerDuty’s Chairperson and Chief Executive Officer and Howard Wilson, our Chief Financial Officer. Before we begin, let me remind everyone that statements made on this call include forward-looking statements based on the environment as we currently see it, which involve known and unknown risks and uncertainties that may cause our actual results, performance or achievements to be materially different from those expressed or implied by the forward-looking statements. These forward-looking statements include our growth prospects and future revenue, among others and represent our management’s belief and assumptions only as of the date such statements are made and we undertake no obligation to update these. During today’s call, we will discuss non-GAAP financial measures, which are in addition to and not a substitute for or superior to measures of financial performance prepared in accordance with GAAP. A reconciliation between GAAP and non-GAAP financial measures is available in our earnings release. Further information on these and other factors that could affect the company’s financial results are included in filings we make with the Securities and Exchange Commission. With that, I will turn the call over to Jennifer.
Jennifer Tejada: Thank you, Tony and thank you to everyone for joining us today. Before I speak to our results, I want to acknowledge that our thoughts and support are with the people of Ukraine and those impacted by the ongoing conflict there. In a challenging macro environment, we continued to deliver consistent growth and strong results across the board, closing a terrific Q4 on a tough comp and a fantastic full year result that exceeded our top and bottom line guidance. We entered the new fiscal year with great momentum. Strong demand for our digital operations platform persist, driven by long-term tailwinds, cloud adoption, DevOps transformation, digital acceleration and the increasing appetite for automation in light of rising costs in a tight talent market. PagerDuty’s Q4 results continue a trend of consistently strong company performance over the last several quarters, with the hallmarks of growth acceleration and improved operating leverage. Q4 revenue grew 32% year-over-year to $79 million, our third consecutive quarter of growth above 30%. FY ‘22 total revenue was $281 million, also growing 32% compared to 28% growth in the prior year. For the fifth consecutive quarter, we achieved dollar-based net retention above 120%. Our accomplishments this quarter and throughout FY ‘22 are a testament to our leadership and to our teams anticipating the needs of our customers. PagerDuty’s digital operations platform is central to our customers’ growth strategies, helping them advance their digital maturity. We are efficiently capturing demand through product innovation as well as a sustained focus and execution of our customer-facing teams whose daily efforts drive loyalty and expansion within our customer base. Exceptional results in Q4 were driven by an increase throughout the year in multi-product adoption, incident response user expansion and customer loyalty with gross retention rates consistently above 95%. In short, we are building momentum in our business by closing larger and more comprehensive deals. More than half of our annual recurring revenue now comes from customers utilizing two or more PagerDuty products. Both Event Intelligence and automation are each growing at 70% or more year-over-year. As PagerDuty customers realize rapid time to value, they expand their use of our platform across the enterprise, beyond their DevOps teams and they upgrade to advanced functionality like AI ops and automation that deliver compounding return on investment. Through consistent product innovation and go-to-market execution, we have built a foundation for durable, efficient growth. Average ARR per customer increased during each quarter of FY ‘22 and exited the fourth quarter above $20,000. Customers spending more than $100,000 annually with PagerDuty grew 39% year-over-year and those spending more than $1 million grew by 65%. The continued shift towards digital first across industries creates more opportunity for increased penetration within all of our customer verticals. As businesses navigate a hybrid work environment, our customers prioritize investment to better manage mission-critical work. This work is urgent, unstructured and underserved by current IT service management or traditional automation solutions. Other platforms rely on humans to detect or identify issues and fail to account for the complex dependencies in modern digital infrastructure. Modern work is no longer ticket-based. It’s driven by events and incidents. PagerDuty is purpose-built to efficiently facilitate and automate the type of work that’s essential to modern business success, who needs to perform it and how it will be managed. We are investing in more flexible workflow automation that serves new use cases and augments our current offerings for Dev and IT teams. With our acquisition of Catalytic, we complement our leadership in DevOps workflow automation with a no-code offering that brings the same value to teams and business functions like sales, marketing and finance. We are thrilled to welcome Sean, Ravi and the entire Catalytic team to PagerDuty. An IDC survey released at the end of 2021 reinforces the need for this approach. More than half of all developers surveyed reported their organizations have more than 100 services in production at any given time. Service proliferation is rapidly outpacing the capacity of technical workers, as talent becomes more expensive and difficult to acquire and hard to retain. These trends underscore the need for machine learning and automation that offer productivity, efficiency and innovation. Our focused innovation has cemented PagerDuty as the market standard for both DevOps automation and digital operations. We have expanded our reach to customer service operations, IT and more broadly, process automation. Increasingly, our customers deploy two or more PagerDuty products relying on our platform to mature their digital operations. PagerDuty’s combination of incident response, AIOps, customer service ops and automation provides the time and efficiency for our users to prioritize both innovation and availability. In a world of unstructured data from a wide range of sources, we now enabled more than 650 integrations converting data to high-fidelity actionable signals, orchestrating and automating time-sensitive work across the business. In Q4, we shipped general availability for both event orchestration and round-robin scheduling. Event orchestration intelligently suppresses noise, so teams can focus on the most critical signals and enables automated incident diagnoses in remediation. This lowers the cost of the response and the risk of the incident itself. Round-robin scheduling allows centralized and decentralized teams to implement flexible, automated on-call responsibilities. We believe no other platform is more flexible and resilient at scale than PagerDuty or provides quicker time to value with compounding return on investment over time. We deployed new capabilities throughout the fiscal year, extending our incident response, AIOps, and process automation solutions, which are now leveraged by teams in DevOps, ITOps, security operations and business operations. Our fourth paid offering, Customer Service Operations, continues to gain market traction with several high-value deals closed in the second half of FY ‘22. This further diversifies our product revenue by addressing a substantial market opportunity with customer support teams. The integration of Catalytic into our platform accelerates our product roadmap and opens new addressable opportunities within our customer base. Our platform serves more needs across enterprises – or sorry, as our platform serves more needs across enterprises, we expect multi-product adoption to continue its upward trajectory in FY ‘23. With customer ops and flexible no-code workflows, non-technical employees, citizen developers and leaders across the entire business can leverage PagerDuty to anticipate and manage their most critical work. This will enable more accessible, agile and scalable workflows to operations outside of DevOps, IT and security. We increasingly see this with our customers. In Q4, we significantly expanded our work with a cloud-native digital marketplace customer, operating in more than 460 cities across Asia with ambitions to enter additional markets in the coming years. The organization has been a PagerDuty customer since 2014. And including its activity in the last quarter has expanded its business with us more than 70x, purchasing additional licenses, upgrading to digital operations and more recently, adding our enterprise automation product. They currently utilized over 800 integrations between PagerDuty and other services within the company’s ecosystem. As a result, the company has realized an annual benefit of $3.4 million with PagerDuty. Looking forward to FY ‘23, we are focused on advancing our mission to revolutionize operations and build customer trust by anticipating the unexpected in an unpredictable world. Time has never been more fleeting or valuable and talent comes at an increasingly high price. It’s more important than ever for customers to identify mission-critical time-sensitive opportunities and manage the complex data and systems that underpin their products and end customer experiences. The Operations Cloud is built on the foundation of PagerDuty’s digital operations platform, extended by our integration ecosystem, leveraging our proprietary data set and enabling both orchestration and automation. We believe the Operations Cloud will rapidly become the standard for modern enterprises. It’s cloud-native, designed to simplify the complex, built for distributed organizations, easy to deploy and trusted by developers and technical leaders behind your favorite brands. We continue to scale efficiently and improve our operating leverage and expect to be non-GAAP profitable for the full year FY ‘24. We expect to realize this goal through continued investment in product-led growth, our land-and-expand flywheel and activating new routes to market. PagerDuty remains the only cloud-native platform that combines real-time incentive response with time-critical AIOps insights and automation to help teams across leading enterprises revolutionize their operations. Our exceptional results and momentum over the last several quarters demonstrate durable multi-engine growth. Our vision for an equitable world guides our strategy, our investments and our focus on our customers and our users. We will continue to develop our inclusive culture and to lead with our values, delivering great products for our users and high performance for our stakeholders, while working to improve the communities around us through our social impact programs. In FY ‘22, 92% of Dutonians volunteered their time or made charitable contributions, including to several causes matched by the company. Through PagerDuty.org, we acquired new nonprofit customers focused on disaster response, addressing homelessness and child literacy. I encourage you to learn more about our efforts in our upcoming annual impact report. This week also recognizes equal payday in the United States. I’m incredibly proud of our commitment to and our success in achieving pay equity within $0.01 between male and female employees and within $0.02 across race and ethnicity and hope others will follow our lead. We enter FY ‘23 with incredible momentum, a testament to not only our leadership team, but to the incredible work of Dutonians around the globe. Throughout FY ‘22, our teams ran together to innovate relentlessly in service of our customers, demonstrating the value of new products as they gain traction in the market and built the foundation for further growth. I deeply appreciate the leaders who bet on us, our more than 1 million users and our customer champions. In an unpredictable and fast-changing environment, they place their trust in PagerDuty to drive their digital transformation and maintain the integrity of their operations. Given long-term tailwinds and consistently strong execution, I am very confident in our ability to continue growing efficiently and sustainability and sustainably as the Operations Cloud becomes the standard for modern enterprises. With that, I will turn to Howard and I look forward to your questions.
Howard Wilson: Thank you, Jen and good day to everyone joining us on this afternoon’s call. We are proud of our outstanding fourth quarter and full fiscal year results. The growth demonstrates our success in growing our mid-market and enterprise segments, the expanding number of use cases for the PagerDuty platform and traction for our new products, including event intelligence, automation and customer service operations. Revenue was $79 million for the fourth quarter, up 32% year-over-year, an acceleration of 300 basis points over Q4 of fiscal year 2021. International revenue grew at 32% and represents 24% of total revenues. Our dollar-based net retention rate in Q4 was 124% compared to 121% in the same period 1 year ago. We have delivered DBNR above 120% for five consecutive quarters and expect to be at or above 120% over the next year. We continue to gain momentum in mid-market and enterprise through ongoing strong innovation and go-to-market execution. Q4 ended with 594 customers with ARR over $100,000, up 39% from a year ago. Additionally, our customers with ARR over $1 million increased to 43, up 65% compared to Q4 of last year. This is a number we provide on an annual basis. We ended Q4 with 14,865 paid customers, up 7% compared to a year ago. This is a moderate acceleration sequentially, and it is worth noting that Q4 anniversary is the introduction of our free tier, which was first up at late in Q3 of FY ‘21. Free and paid companies on our platform grew to over 20,000, an increase of 27% year-over-year with free continuing to provide a funnel for future paid growth. Our highest tier plan digital operations increased to 23% of our total ARR, up from 21% a year ago. This metric is a conservative proxy for platform adoption, but it does not entirely capture customers using more than 1 paid product. Our professional and business plans can be augmented with Event Intelligence, and process automation and customer service are available on a stand-alone basis. And to that end, and to provide some additional insights, approximately 51% of our ARR comes from customers using 2 or more paid products. This is up from 47% in FY ‘21 and from 32% in FY ‘20. We will update this metric on an annual basis. Our Q4 non-GAAP gross margin was 84% and within our target range. This percentage is down marginally on a sequential basis due to a slight uptick in hosting and messaging fees during the quarter. Non-GAAP operating loss improved to $2 million or 3% of revenue compared to a loss of $5 million or 8% of revenue in the same quarter last year, primarily result of sustainable sales and marketing efficiency gains and economies of scale across G&A. In terms of cash flow for the quarter, cash from operations was $1 million and free cash flow was negative $1 million. Now for the full fiscal year, revenue was $281 million, up 32% year-over-year as we accelerated growth from 28% last year. Non-GAAP gross margin was 85%, down approximately 200 basis points from 87%. Non-GAAP operating loss was $23 million or 8% of revenue compared to a loss of $18 million or 8% of revenue a year ago. This year includes approximately $4 million of expenses related to a limited return to office and increase in travel compared to the prior year, which was the first year of the pandemic. Operating cash flow was negative $6 million compared to $10 million a year ago. Free cash flow was negative $30 million compared to positive $5 million in fiscal 2021, and headcount increased to 950, up 21% year-over-year. Turning to the balance sheet, we ended the quarter with $543 million in cash, cash equivalents and investments. Total deferred revenue ended the quarter at $170 million, up 31% year-over-year. Quarterly billings were $106 million, which was an increase of 30% year-over-year, exceeding the high end of the range we provided during last quarter’s call. This included approximately $2 million of early renewals. We expect billings growth for Q1 to be in the range of 25% to 30%. On a trailing 12-month basis, billings were $322 million, an increase of compared to a year ago and above the top of the range provided during our last call. As a reminder, the comparable period Q4 of FY ‘21 included a onetime benefit of approximately $6 million from early renewals. We expect trading 12 months billings growth exiting the first quarter to be at or above 30% over last year. Before moving on to guidance, I would like to introduce the second annual metric, annual recurring revenue, or ARR. Given the increasing scale of PagerDuty and inherent fluctuation in quarterly billings, we wanted to provide additional color on the fiscal year. We exited Q4 with $326 million in annual recurring revenue, which was an increase of 32% year-over-year. Turning now to our guidance, which includes top and bottom line considerations for the acquisition of Catalytic, which closed on March 8 as well as our expectations for increases to certain line items that was suppressed during the past year owing to the pandemic. For the first quarter of fiscal 2023, we expect revenue in the range of $81.5 million to $83.5 million, representing a growth rate of 28% to 31%. Non-GAAP net loss per share in the range of $0.09 to $0.08 with basic shares outstanding of approximately $87 million. This implies a non-GAAP operating margin in the range of negative 8% to negative 7%. For the full fiscal year 2023, we are initiating revenue guidance for the full year of $360 million to $366 million, representing a growth rate of 28% to 30%. We expect non-GAAP net loss per share of $0.23 to $0.17, with basic shares outstanding of approximately 88 million. This implies a non-GAAP operating margin of negative 6% to negative 4%. Before moving to Q&A, I would like to provide some details to assist with modeling FY ‘23. Non-GAAP operating margin is expected to turn positive in the fourth quarter as merit increases, payroll taxes, Summit, our annual user event are first half occurrences. To put a finer point on the trend, we expect each quarter of FY ‘23 to be an improvement over the corresponding FY ‘22 quarter. We expect cash from operations and free cash flow to follow a pattern similar to last year, with Q2 being below and Q4 the half. Seasonal factors influencing cash during the first half of bonus payouts in Q1, interest payments on convertible debt, annual merit increases and ESPP. And we expect non-GAAP gross margin to be in our target range between 84% and 86%. I want to thank our customers for their trust in us and our team for delivering an outstanding fiscal year of product innovation and four quarters of terrific go-to-market execution. Our innovation investments are designed to actualize our vision to transform critical work and revolutionize operations as the operations cloud to the modern enterprise, while continuing to scale towards non-GAAP profitability. I continue to remain confident in our business and performance, given the market demand, the acceleration of our product innovation, strong tailwinds and our consistent execution. And with that, I will open up the call for Q&A.
A - Tony Righetti: Okay. We ask that our analysts that have questions for the team do raise their hand. We have a number of hands raised already. We’re going to turn first to Sanjit Singh at Morgan Stanley.
Sanjit Singh: Great. Congrats to the team on an exceptional year, accelerating growth. It was really great to see and the guidance was good, too. So Jen, maybe from your end, what is coming together across the product portfolio? I was wondering if you could address a couple of things on the execution side of the house, the free to paid conversion and sort of the adoption of some of the add-on products, whether it’s Rundeck, you mentioned customer service. What are you seeing in terms of the trend lines there on the uptake on the add-on products?
Jennifer Tejada: Sure. Well, it’s great to hear from you, and thanks for being here today. We are incredibly proud of the result this year, and I’m incredibly proud of our team and super appreciative of our customers. But it’s the story we’ve been telling. Long-term tailwinds, digital acceleration is not going away. Cloud adoption continues. DevOps transformation, most of our customers are still early in that journey. And now we’re seeing macro impacts like inflation, where people are trying to figure out how they are going to get more out of their current operating expenses. And that creates, I think, a broader appetite for automation, and we’re definitely seeing that. In particular, the ongoing digitization of every business has meant that customer service ops is becoming increasingly more interesting for our customers, because they can’t solve problems in a brick-and-mortar environment. They can’t wait hours for tickets to get through queues. They actually have to resolve things in a very time-sensitive way, and their teams are distributed by design due to hybrid work and the flexibility that many employers have offered their employees. And I think that will continue to be the case because even if some people bring their folks back into the office, everybody won’t be in the office in the same day and people have moved out of urban locations. We also built this really healthy foundation by extending our lead in incident response. And that kind of creates the platform for product attached. These things kind of go together like hand in glove. And the consistent innovation that we’ve seen in a very focused way, I think, has really led our customers to count on us for anything that’s specific to what I call real-time digital operations. So just a lot of the macro moving in our favor. Now finally, I would just say, really strong execution on the part of our teams, whether it’s our customer support and customer service teams, who maintain best-in-class gross retention and huge customer loyalty or our sales team, so have done a really good job of really focusing on solution selling and selling value and improving execution across the board or the product teams that really speeding up all of our innovation. And I like what I’m seeing from a free-to-paid conversion perspective. As you know, free really creates an opportunity for customers to try our product, get used to it, to understand the value that it can create before they have to invest. I think we’re getting better and better at managing that conversion process and have a lot of focus around it right now.
Sanjit Singh: I appreciate…
Howard Wilson: Maybe I can just jump in and add. The thesis behind free was really around capturing the broader market. But our focus is really around how do we ensure that we capture the mid-market and enterprise customers because that accounts for more than 80% of our ARR. And so if you just look at the numbers, the number of customers that are above $100,000, that grew 39%; above $1 million, grew by 65%. And we’re seeing double-digit customer growth in enterprise and mid-market. So that’s working as designed and planned and the results are showing up in those numbers, including our dollar-based net retention.
Sanjit Singh: Makes some sense. And I appreciate all the color. The follow-up question, and maybe it’s sort of two parts, one for Jen, one for Howard, is just around the Catalytic acquisition. Jen, I was wondering if you can walk us through the rationale of why it makes sense for PagerDuty to move into more of these business workflows associated with finance teams, sales teams and marketing teams? And then for Howard, if you could make – is there any comment you have that you can help us understand the contribution of Catalytic to the full year guide, whether in terms of ARR, in terms of revenue, the contribution that’s assumed in the guidance? And from there, I’ll cede the floor. Thank you very much.
Jennifer Tejada: Thank you. And I’ll point to our customers. I mean, they are already pulling us in that direction. We have customers today that use us in legal and finance and sales, marketing, in human resources, etcetera. So we could see the demand. But we also know that those customers have requirements for more intuitive, more flexible workflows, the DevOps workflow that our platform was built around is very determinant. And so creating more flexible workflows and offerings that serve – like I said, the citizen developer or the less technical user, has become important to our customers, and they are telling us that. So Catalytic is all about a strategic product acquisition. It accelerates our roadmap. It provides a no-code offering that can serve some of these new use cases. It also enabled us to acquire a great team in Chicago to expand our development capabilities. I’m a Midwesterner, so I feel really good about that. I’ll let Howard talk a little bit about how this works from a financial perspective.
Howard Wilson: Sure. And I guess, a significant acquisition for us from a strategy perspective, but immaterial from a financial perspective. This was a young, early startup, not profitable. But certainly, we see from a top line contribution, less than $5 million in revenue, so probably around 1% of our total revenue number for the year. And from a bottom line perspective, the guidance that we’ve given incorporates the incremental expense that we see bringing in with Catalytic.
Sanjit Singh: Understand. Thank you, Howard.
Tony Righetti: Okay. Next, we will hear from Sterling Auty at JPMorgan. Sterling, come on and join us.
Sterling Auty: Well, thanks for let me join you. And just actually going to ask one question from my side, and it’s really about the competitive landscape. I think the earnings release timely in light of ServiceNow’s announcement of incident response under Lightstep. Can you give us a sense of when you look at that solution, how does that compare and contrast? As well as – it feels like some of the other traditional competition out of Atlassian and Splunk has kind of faded. And just wondering if there is any update around win rates more generally?
Jennifer Tejada: Yes. The competitive landscape for us continues to be favorable, and it improves as we innovate. And I think the focus in our innovation around not just incident response, more broadly, incident management, AIOps, now customer service ops, just lays a much broader foundation for us to grow upon. And if you think about the integration ecosystem that we built, it also sees PagerDuty being really essential infrastructure for our customers from a technical perspective. So we don’t see customers taking risks to make changes. And I think other players that are out there have much earlier, less proven, less resilient products. And so we continue to see very good success from a competitive position. The bottom line is there isn’t anybody out there that sort of can offer the breadth, the depth, at the scale and the resiliency of the PagerDuty platform. And we are seeing this real convergence of incident response, AIOps and automation coming together, where our offering is unparalleled. And I think there is a lot to be said for customer loyalty as well. We work every day to earn the trust of our customers, and they demonstrate that in their continued work with us.
Sterling Auty: Makes sense. Thank you, guys.
Jennifer Tejada: Thank you.
Howard Wilson: Thank you.
Tony Righetti: Okay. Thank you. Moving on, on our list, we are going to hear from Joel Fishbein from Truist.
Joel Fishbein: Hi, thank you and congratulations on the great results as well. And this is sort of a follow-up to Sterling’s question, which is Rundeck Version 4.0 is coming out of the release. I’d love Jennifer, if you could just tell us what’s new in that, that may enhance your competitive positioning. I think that would be interesting.
Jennifer Tejada: Well, Rundeck – so we call this Process Automation now as well, if that – I hope that doesn’t confuse people. But really proud of what the teams have accomplished in really integrating Rundeck more closely into our framework with Rundeck actions or Runbook actions, and also delivering it as a cloud solution. So it means it’s really easier for our customers to trial, easy for customers to buy and easier to apply what was historically known as Rundeck to use cases that go beyond DevOps and ITOps and can be used across IT and across other parts of the organization, so easier use in the cloud, driving direct actions integrated into PagerDuty. So what you’re seeing is more seamless automation of the incident response in the PagerDuty incident response workflow and easier to try and acquire. So one of the things I’m excited about is Rundeck as a land motion for us as a company.
Joel Fishbein: Great. Thank you so much.
Howard Wilson: And Joel, you should come to our Summit event in June since I have publicity, because you’ll hear more about some of these exciting product innovations.
Joel Fishbein: I will be there.
Jennifer Tejada: Howard is on top of it today.
Tony Righetti: Thank you, Joel. Moving on to Bhavan Suri, let me bring you on.
Bhavan Suri: Thank you. And I’ll add my congrats. Two quick questions. One of them, tactical, I know Jennifer, you touched on inflation, but obviously, there is probably a recession in Europe. And we certainly heard from companies saying our large customers are in cash conservation mode, everything else, some sense of what you’re seeing, deal-flow wise, new bookings wise, because revenues, it is what it is. You guys have fairly quick close [indiscernible] during the SMB or mid-market, but some sense of what you are seeing in Europe, given what’s happening and the protracted potential outcome there?
Jennifer Tejada: Yes. Let’s talk a little bit about that. I mean, the tailwinds remain the same. And I think in a recessionary environment, people will continue to look for ways to automate more and more of their operations to leverage the cloud to reduce their production costs, etcetera. So I think we will continue to see some of those strategic efforts that are underway. I think inflation is potentially a tailwind for automation as well, because you’ve got the combination of rising talent costs and then the challenge of rising supply costs overall. And I’ll speak to Europe just for a second. When we think about what’s going on in Ukraine and Russia that represents a very immaterial amount of our business. More broadly, Europe represents roughly 12%, 13% of total revenue and we haven’t seen a change in the buying signal. So we continue to see our customers there looking for support in maturing their digital operations and moving away from more manual process to things where they can drive efficiencies across their business.
Bhavan Suri: No, that’s helpful. Thank you. And then a broader question, I think you probably would have touched on it a little bit, but as you look at this Operations Cloud and historically, business have been separate, you have transactional operations businesses and you have analytics businesses. But as I look at the data, and I look at the insights, there is this concept of moving up like sort of that Maslow’s hierarchy of data, right. So, collection is a big part. But you already addressed collection. How do you think about getting to that prescriptive, kind of the top part of that pyramid, which is I will prescribe it, are predicted? And is that part of the roadmap in 3 years, 5 years? How should we think about your…?
Jennifer Tejada: We already do that today, Bhavan. I mean that was a big part of what event intelligence brought to our product set when we first started out with that product and now more broadly, have invested in an AIOp solution. So, in the PagerDuty platform, we leverage machine learning across a deep, more than a decade of data, proprietary data set to not only predict that things are going to occur, but make recommendations on how to improve the scenario or prevent an incident from happening again. So – and that’s already a big part of our offering, and it’s one of the reasons why we see our AIOps solution and our automation solution, both growing over 70% in the last year. And I think we are very, very early kind of to use a tip of the iceberg there. I think there is much more opportunity for that as teams get more comfortable, as customers get more comfortable relying on platforms like event intelligence and automation that provide safe self-healing, where you can see the automation that’s going to run. It’s easy to roll back, it’s integrated into your overall workflow. And I think they are starting to recognize the benefit of the platform learning and providing more value every time an incident runs across it, which is very different than any of the other offerings that have been mentioned earlier in the call.
Bhavan Suri: It’s helpful. We will call it the tip of Maslow’s pyramid.
Jennifer Tejada: There you go. I am always trying to climb to the peak. Like that’s the best part of the game.
Bhavan Suri: No, I appreciate that. Thank you.
Jennifer Tejada: Pleasure.
Tony Righetti: Excellent. Thanks. We are going to hear next from Chad Bennett at Craig-Hallum. Chad?
Chad Bennett: Hey. Thanks for taking my questions. Hi Jen. Hi Howard. So, can we get an update, looking at the fourth quarter and maybe the last year, now that we have completed the year in terms of where SecOps and where customer service ops penetration kind of went from and to, and kind of how that kind of sales execution, sales process, progress during the year and kind of where we ended? And what we think potentially that business or that use case could do in the upcoming year from a growth standpoint?
Jennifer Tejada: I will start that. And Howard, if you want to jump in, let me know. From a customer service ops perspective, that’s still a very early product. But what we are seeing is more of a top-down sale there. So, some significant deals in the back half of the year, which has been great. And a few of those deals have been referred by leaders from one company to another. So, the problem is definitely like a senior leadership problem. It’s not just a user issue. And that’s somewhat unique to the platform for us. From a security perspective, what’s really interesting about security is kind of a shift in the last really six months, just given the heightened sort of vulnerability and threat environment, what we are seeing is a focus on security resiliency. So, it’s not just about trying to prevent a hack or a breach from happening. We know it’s going to happen. It’s how well and how quickly can you respond and put yourself in a position that you can keep your customers and your data safe. And that has seen a lot of adoption of PagerDuty in DevSecOps teams and security ops, but we don’t separate those users from our regular incident response users. There isn’t a separate SKU there today. We don’t have a separate SKU for a security operations center. Not to say we wouldn’t do something there in the future. But I think that continues to be part of our growth story, but it’s more integrated into our traditional incident response numbers.
Howard Wilson: Yes. And what I would add, Chad, as Jen said, we have been seeing good traction in both those areas. We have periodically shared those numbers in terms of how we have seen that growth. They have both continued to grow each quarter, but we haven’t planned to give an update on the specific numbers for this call.
Chad Bennett: Okay. And then maybe a quick follow-up on net expansion or net retention. So Howard, I think up until now, and it’s great to see the two-plus product disclosure in that 51% ARR. But I think up until now, the majority of net expansion has been driven by users, if I am correct, kind of historically. But we have a pretty good kind of 51% two-plus product number. I guess my question would be, how should we think about net expansion going forward, the kind of the user base net expansion versus cross-sell, up-sell platform kind of growth or net expansion in – I know I have harped on you before on it, but what would make net expansion go backwards?
Howard Wilson: So, let me get to your first part of the question. What I would say is that our growth is still driven principally by adding new users, right. But what’s interesting is how we have seen the shift over the last 2 years is it’s not just users of one product. It’s users either of our digital operations plan, which represents two products or it’s adding additional products like event intelligence and more recently, automation, customer service ops. So, if you had to think about it, it’s still users primarily and then adding on the additional product. So that’s, I guess is not unusual in terms of how that flow would work. In terms of looking forward on dollar-based net expansion, like we are really pleased with the progress that we have seen in terms of getting above 120% for five orders now. And our view is that, that’s sustainable. And we see ourselves being above that number into this next year. In terms of what could make that go backwards would be high levels of customer churn, right, or customers downgrading. So, just in terms of pure mechanics. And what I would say is if you look at our gross retention number, it’s consistently been above 95%. Yes. The guidance I am giving to folks is 120% or above for the next year.
Chad Bennett: Just Howard being Howard. I appreciate it. Thank you, nice job on the quarter again.
Howard Wilson: Thanks, Chad.
Tony Righetti: Wonderful. Next, we will hear from Derrick Wood at Cowen. Derrick, if you would like to join us.
Derrick Wood: Yes. Great to see everyone. Congrats on a great finish to the year. I wanted to start on the kind of the go-to-market and product strategy with Catalytic. Will that be a separate SKU, or do you plan to absorb that into a core product line? And if the latter, any sense as to how long that will take? And I guess from a go-to-market, you ever think about having dedicated sales teams to go after line of business, or will this be part of the bag for core AEs?
Jennifer Tejada: Well, we are looking at that all right now. I mean with Rundeck, we initially kept Rundeck separate just to allow it to gain some momentum and make sure that we didn’t disrupt their product roadmap as they were coming into the company. With Catalytic, we learned a lot from Rundeck. So, there is some functionality with Catalytic today that we would like to deploy to all of our customers. The flexibility and the flexible workflows or what they call smart workflows, can be leveraged in a lot of different ways by DevOps and IT teams, whether it’s centralized or decentralized. So, Catalytic accelerates some of the work that we were already doing to improve the flexibility in our workflows and just make it easier for customers to connect to everyone, connect to everything and get work detected and done faster in a more traditional incident response or DevOps perspective and increasingly in IT operations perspective. So – and at the same time, like we anticipate working with Catalytic’s customers, understand like where they are getting the most value from their business use cases and then hope to replicate that and bring them on to the PagerDuty platform. And they have some really interesting customers like Mayo Clinic and Bosch, etcetera. So, we think we are going to learn a lot there, but it’s still very early days.
Derrick Wood: Helpful color. Thanks. And then, Jen, you mentioned activating new routes to market is a key focus going forward. I guess so as it pertains to the channel, where are you most focused on in terms of investing in partnerships? And anything new we should be thinking about going into the New Year?
Jennifer Tejada: Yes. We are looking at accelerating some of the efforts that we have with strategic partners. As I have mentioned in the past, AWS has been a great channel to market, and we are sort of doubling down with them to continue to expand our reach to both customers that we serve today, but also from a customer acquisition perspective, particularly within mid-market and enterprise. And even AWS Marketplace has been a good platform for us as we look at the start-ups that see us as part of the five or six things they need in their start-up tool kit. So, strategic relationships like that will continue to be important. Working with partners to get to regions that we are not currently in today, I mean we really have a lot of opportunity in the broader global footprint to go after, and we don’t need to do all of that ourselves. So, looking at new regional markets where we don’t have to put feet in the street, we can work with partners will be really important as well. And Dave, our sales leadership, I think is doing a really good job of thinking about how we prioritize those. And you can expect to hear more about that in the future.
Derrick Wood: Great. Congrats.
Jennifer Tejada: Thank you so much. I hope I will see you at Summit in June, been a long time.
Derrick Wood: Yes. You bet. Yes.
Tony Righetti: Okay. A couple more folks. We will hear next from Shrenik Kothari. I hope I said that right for you. Go ahead.
Shrenik Kothari: Yes, that’s right. This is Shrenik on for Rob. Really, really great quarter, strong momentum driven by the multiproduct. So, as a follow-up to some of the earlier questions, I think by Bhavan and Chad. Sorry, if I might have missed that, but did you break out the NRR for large customers this time around? Like how is it trending versus it was about 130% or so last quarter? And then a follow-up.
Howard Wilson: So Shrenik, I think you are referring to – we have previously sort of broken down our dollar-based net retention. Is that what your question is? We haven’t provided that breakdown this quarter. We see healthy dollar-based net retention across all our segments, 124% for the quarter.
Jennifer Tejada: Yes. I think I would point you to, if you look at our customer cohorts that are spending $100,000 in ARR or $1 million in ARR growing 39% and 65% respectively, we are feeling really good about those numbers. And I give a shout out to the go-to-market teams because they have done a really good job of striking the balance between getting large deals done, large strategic deals, multiproduct deals, multiyear deals done and at the same time, continuing to drive the flywheel of transactional small deals, which make our revenue run rate more predictable.
Shrenik Kothari: Got it. Thanks Jen. Thanks Howard. So, one quick follow-up, I know you mentioned or touched upon it a little bit, the paying customer base growth picked up to like about 8% year-on-year and sequentially also really good. And in terms of the conversion, I just wanted to understand, like how much follow-through are you seeing from the top of the funnel in terms of conversion rate trends? I know you touched upon it a bit, but just wanted to understand like the trends versus last quarters.
Howard Wilson: Sure. So, we haven’t provided specific numbers on this, Shrenik, as you know, but the model as designed is doing what we expect. So, part of the thesis behind this was to create a funnel that would help feed the overall number of companies on our platform and allow us to get early visibility into mid-market and enterprise customers that we could then look to on both. And when we look at the growth in our enterprise and mid-market customers, that’s double-digit growth. So, significantly higher than the overall growth in our paying customer base. And that’s exactly the result that we are looking for.
Jennifer Tejada: Yes. And I would just add to that, that I am still pretty excited about the fact that when we look at free and paid growth together, that’s at 27%. And we are also still seeing average revenue per customer go up above $200,000. So…
Howard Wilson: $20,000.
Jennifer Tejada: Sorry, $20,000. I added a zero. Thank you, Howard.
Howard Wilson: $200,000 would be good. But $20,000 for now.
Jennifer Tejada: $200,000 will be awesome, but that’s not – we are not there yet. Yes.
Shrenik Kothari: Got it. Thanks a lot Jen and Howard.
Howard Wilson: Thanks Shrenik.
Tony Righetti: Thank you. And we will round things out today with Matt Hedberg. Matt, turning over to you.
Matt Hedberg: Hey. Thanks. Howard, I really like the ARR disclosure, something I think we have been asking for a while. So, I certainly do appreciate that. Is that something that you are going to update us on a quarterly basis? And I guess theoretically, should that help smooth out co-terming and be sort of a better growth metric than billings?
Howard Wilson: So, our plan is to provide it on an annual basis Matt, just because we feel that there is – some of the movements by quarter effectively could be – could end up disclosing proprietary movement from a company perspective. So, we are thinking about this on an annual basis. But obviously, I think when people look at that, triangulate that with the billings information that we will be sharing, they are going to have a much better view. And we will continue to provide guidance around our quarterly billings and trailing 12-month billings to give you that more complete picture.
Matt Hedberg: Maybe then I guess how should we interpret ARR then in terms of like is it – it sounds like you are not going to give it quarterly because there may be some volatility in there as opposed to kind of being more of a smooth metric?
Howard Wilson: Yes. That is correct. I mean it’s not so much volatility, but it does give you an indication of the starting point where we are at the start of this year. And it will help you then see the progression that we are making each quarter relative to billings as we provide the billings through the course of the year.
Matt Hedberg: Got it. Thanks a lot guys.
Jennifer Tejada: Thanks, Matt. I would also point out that we have, I think for the first time, shared our outlook on our time to profitability. I mean we are confident and committed to profitability by FY ‘24. So, in addition to sharing an annual ARR number, we are very excited about not only the growth acceleration we have seen last year, the momentum that we have going into this year, particularly in mid-market and enterprise. And the fact that we are seeing leverage at scale and expect to continue to improve our operating leverage while we sustain these growth rates. So, pretty exciting times for the company.
Tony Righetti: Currently, we have no further analyst questions. Jennifer, if you would like to take us home?
Jennifer Tejada: Great. Well, first of all, I just want to say thank you, everyone, for being here today. In closing, FY ‘22 was an outstanding year for the company. Our accelerated growth and sustained performance provides an excellent foundation for durable growth in the years ahead. We are committed to non-GAAP profitability in FY ‘24, and we remain focused on earning the trust of our customers every day. Thank you and be well.